Operator: Good morning, and welcome to the Icahn Enterprises L.P. First Quarter 2022 Earnings Call with Rob Flint, Director of Accounting; David Willetts, President and CEO; and Ted Papapostolou, Chief Financial Officer. I would now like to hand the call over to Rob Flint, who will read the opening statement.
Rob Flint: Thank you, operator. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. Forward-looking statements may be identified by words such as expects, anticipates, intends, plans, believes, seeks, estimates, will or words of similar meaning and include, but are not limited to, statements about the expected future business and financial performance of Icahn Enterprises and its subsidiaries. Actual events, results and outcomes may differ materially from our expectations due to a variety of known and unknown risks, uncertainties and other factors that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal and other factors; including the severity, magnitude and duration of the COVID-19 pandemic and its impact on the global economy, financial markets and industries in which our subsidiaries operate; the impacts from the Russia-Ukraine conflict, including economic volatility and the impacts of export controls and other economic sanctions. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. The presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. I'll now turn it over to David Willetts, our Chief Executive Officer.
David Willetts: Thank you, Rob, and good morning, and welcome to the First Quarter 2022 Icahn Enterprises Earnings Call. Joining me on today's call is Ted Papapostolou, our Chief Financial Officer. Together we'll provide an overview of the first quarter results and then be available for questions. As we've said before, we believe activism is the best paradigm for investing. We're pleased with our current activist campaign at Southwest Gas and encourage investors to refer to our public filings and statements to stay apprised of the latest developments. IEP is reporting first quarter 2022 revenues of $4.1 billion and net income attributable to Icahn Enterprises of $323 million or $1.06 per depositary unit. This represents an increase in net income per depositary unit of $0.41 versus quarter 1 of 2021. For the 3 months ended March 31, 2021, revenues were $3.4 billion and net income attributable to Icahn Enterprises was $162 million or $0.65 per depositary unit. For the 3 months ended March 31, 2022, adjusted EBITDA attributable to Icahn Enterprises was $616 million compared to $435 million for the 3 months ended March 31, 2021. Indicative net asset value increased by $1.1 billion as of March 31, 2022, compared to December 31, 2021. The change in indicative net asset value includes, among other things, changes in the fair value of certain subsidiaries, which are not included in our GAAP earnings reported above. Regarding our segments. Our Investment Funds had a strong performance for the quarter with a positive return of 9.6% for quarter 1 of 2022, primarily driven by movements in our Energy investments. In our Investment Funds, we generally take a value investing approach in our long positions, and we frequently use shorts to selectively hedge market risk. CVI ended the first quarter 2022 EBITDA and net income with improvements reflecting strong performance in the fertilizer segment and improved crack spreads in refining. RINs costs continued to negatively impact refining, costing more than $107 million for the quarter. The company is aggressively pursuing its push into renewables for the start-up of the biodiesel unit at Wynnewood and CVR announced a dividend of $0.40 per share and UAN announced a substantial dividend of $2.26 in its distribution to its unitholders. Automotive Services continued its strong upward trajectory, and the team is executing the multiyear improvement plan. Services is in a strong position given the increasing age of the car park and is benefiting from the growing number of vehicles older than 3 years on the road today. Parts business continues to stabilize and actively working down excess inventory. We closed the quarter with cash and investments in the Funds of approximately $6 billion. We paid down $500 million of debt, resulting in interest expense savings of $34 million on an annual basis. The Board declared a $2 quarterly distribution payable in cash for additional units. With that, let me turn it over to Ted for a detailed discussion of our segments and our performance. Ted?
Ted Papapostolou: Thanks, David. I will begin by reviewing our consolidated results and then highlight the performance of our operating segments and comment on the strength of our balance sheet. For Q1 '22, we had net income attributable to IEP of $323 million compared to net income of $162 million in Q1 '21. For Q1 '22, adjusted EBITDA attributable to IEP was $616 million compared to $435 million in the prior year quarter. I will now provide more detail regarding the performance of our individual segments. The Investment Funds had a return of 9.6% for Q1 '22 compared to a return of 9.2% in the prior year quarter. Q1 '22 returns were primarily driven by the net positive performance of our Energy sector investments. Long positions had a positive performance attribution of 15.1% in Q1 '22, while short positions and other had a negative performance attribution of 5.5%. The Investment Funds had a net short notional exposure of 21% at the end of the quarter compared to a net short notional exposure of 31% at the end of the year. Our investment in the Funds was approximately $4.7 billion as of quarter end. Now to our Energy segment. In Q1 '22, our Energy segment reported net sales of $2.4 billion compared to $1.5 billion in the prior year quarter. Consolidated adjusted EBITDA was $278 million for Q1 '22 compared to 0 in Q1 of '21. CVI declared a first quarter dividend of $0.40 per share. Total throughput was approximately 197,000 barrels per day in Q1 '22 compared to 186,000 in Q1 '21. Q1 '22 refining margin per throughput barrel was $16.75 compared to $3.05 in the prior year quarter. This was primarily due to higher crack spreads and an increase in crude oil prices. The cost of RINs continue to have a negative impact on our refining business. For Q1 '22, the RINs expense was $107 million. CVR is focused on decarbonization and announced a plan to segregate its renewables business in order to better align its organizational structure with management, financial reporting and its goal to maximize renewables focus. During the quarter, the company completed the conversion of the hydrocracker at one of its refineries and successfully started a renewable diesel unit. CVR Partners reported Q1 '22 EBITDA of $123 million compared to $5 million for Q1 '21. Q1 '22 average realized gate prices for UAN improved by 212% to $496 per ton and ammonia improved by 252% to $1,055 per ton when compared to Q1 of '21. CVR Partners declared a first quarter cash distribution of $2.26 per unit. Now to our Automotive segment. Q1 '22 net sales and service revenues for the Automotive segment were $554 million, a decrease of $44 million from the prior year quarter. Store closures relating to the transformation plan accounted for a decrease of $77 million. On an organic basis, service revenue was up $26 million and aftermarket parts sales were up [$7 million]. Q1 '22 adjusted EBITDA was a loss of $2 million compared to a loss of $9 million in Q1 of '21. Adjusted EBITDA excludes transformation losses associated with store closures, which was [$14] million for Q1 '22. And now turning to our Food Packaging segment. Q1 '22 net sales and adjusted EBITDA were flat compared to prior year quarter. Volumes were slightly down, and there were headwinds with inflationary raw material pricing and transportation costs, which were offset by positive pricing initiatives, especially in the U.S. And turning to our Real Estate segment. Q1 '22 net sales and other revenues increased by $11 million compared to the prior year quarter. Adjusted EBITDA was $6 million for Q1 '22 compared to $2 million for Q1 '21. This segment remains highly focused on increasing occupancy across the portfolio. Our New Seabury property continues to perform above expectations in both club operations and development activities and our Aruba resort has rebounded strongly due to the reduced impact of COVID-19. And now to our Home Fashion segment. Q1 '22 net sales increased by $14 million as compared to the prior year quarter, primarily due to the increase in demand for its hospitality business due to the reduced impact of the COVID-19 impact. Adjusted EBITDA was $1 million for Q1 '22 compared to a loss of $2 million in Q1 of '21. Now turning to our Pharma segment. For Q1 '22, net operating revenues were $16 million and adjusted EBITDA was $2 million. Pancreaze and Qsymia both had strong prescription growth at 12% and 8%, respectively, compared to the prior year quarter. Vivus is executing on its plan to expand the geographic reach of Qsymia into Europe, which is expected to launch in Q1 of 2023. Now I'll discuss our liquidity position. We maintain ample liquidity at the holding company and at each of our operating subsidiaries to take advantage of attractive opportunities. We ended the quarter with cash, cash equivalents, our investment in the Investment Funds and subsidiary revolver availability totaling approximately $7 billion. Our subsidiaries have approximately $791 million of cash and $443 million of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside our existing operating segments. Thank you. Operator, can you please open the call up for questions.
Operator: [Operator Instructions] Our first question will come from Dan Fannon from Jefferies.
Unidentified Analyst: This is actually [Junshi] on for Dan. Just to start, maybe just given the current market backdrop both with the Fed and some of the geopolitical risks that we're seeing. Just curious on how is your portfolio positioned differently now versus in the past? And then maybe any color on how you would sort of navigate that going forward? That would be helpful.
David Willetts: Sure. I think the opening comments I made are probably pretty relevant over the last few calls. We're fundamentally a value investor, and we have employed a strategy for our longs looking at value, and we use market hedges selectively to hedge our positions. And in some quarters, that has presented a real challenge for us as the market goes up and down. But this is the type of market that you actually hedge your portfolio for. So there is no change in our strategy. We continually relook at all of our positions, longs and shorts. But we believe this is the market that really proves out what we've been doing for the last, gosh knows, how many years. And in terms of the crystal ball for the future market, I think if we all have that answer, we'd feel much more comfortable. So we won't speculate on the market and what's happening other than to say it's going to be a very interesting rest of this year.
Unidentified Analyst: Understood. That's helpful. And then maybe just in terms of new investments, specifically within this type of market backdrop, any directions or any segments of the market that you think is more attractive for your style of investments today?
David Willetts: I think -- what I would encourage you to do is look at our statements when we make them in terms of when we announce an investment. I would just underscore we look for value and this market is definitely a market where there are opportunities and there are risks. So I wouldn’t say we have any unusual focus other than we’re continuously screening for deep value opportunities.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Berg from Post Advisory Group.
Andrew Berg: Just a quick question related to the debt repayment in February. Was that all funded out of cash at the holding company? Or were there some funds removed from the hedge fund that were upstream to the holding company to help pay for that.
David Willetts: Ted, do you want to take that? That is...
Ted Papapostolou: Andrew, no, it was all taken from the holding company. We didn’t need to redeem from the funds.
Operator: [Operator Instructions] All right. I'm not showing any further questions in the queue. I'd like to turn the call back over to David Willetts for any closing remarks.
David Willetts: Okay. Well, thank you all very much. We will all see you in roughly 1 quarter’s time when we discuss quarter 2. And in the interim, if you do have any questions, please go to our website and you can connect to the investor portal or hotline and raise any questions in that fashion. Thank you very much, and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.